Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2013 Great Lakes Dredge & Dock Corporation Earnings Conference Call. My name is Karen and I will be your coordinator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would like to turn the presentation over to your host for today's conference, Ms. Katie Hayes, employee of Great Lakes. Please proceed.
Katherine M. Hayes: Thank you, good morning. This is Katie Hayes, and I welcome you to our quarterly conference call. Jon Berger, our Chief Executive Officer; and Bill Steckel, our Chief Financial Officer, will discuss the operational and financial results for the quarter and year ended December 31, 2013. Following their comments, there will be an opportunity for questions. During this call, we'll make certain forward-looking statements to help you understand our business. These statements involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from our expectations. Certain risk factors inherent in our business are set forth in our filings with the SEC, including our 2012 Form 10-K and subsequent filings. During this call, we will also refer to certain non-GAAP financial measures, including adjusted EBITDA, which are explained in the net income to adjusted EBITDA reconciliation attached to our earnings release and posted on our website, along with certain other operating data. I would first like to turn the call over to Bill Steckel, our CFO.
William S. Steckel: Thank you, Katie. As is customary, we issued our press release this morning containing important information about our fourth quarter and full year of 2013. Some of the highlights for the company were sequential quarterly increase in our dredging segment revenue, a strong quarter from our Terra Contracting business and a continued high level of backlog. The dredging segment delivered record revenue in 2013 driven by coastal protection and foreign capital projects along with sound earnings. We also reached a decision to sell the historical demolition business and as a result we’ve renamed the segment that holds Terra Contracting and related business as environmental and remediation. The demolition business that we’re selling is now presented for all reporting periods as discontinued operations and is no longer reflected in continuing operations. Jon will speak more about the status of the sales of the demolition business in a few minutes. Dredging activity stepped up from the third quarter resulting in a sequential quarterly growth of over 13% with Q4 decreased from the exceptional strong fourth quarter of 2012. At the end of the fourth quarter of 2013, we began working on the PortMiami deepening project. We’ve now been fully awarded the contract for approximately $206 million and we will continue to work on this project for approximately the next 18 months. The environmental and remediation segment had a robust quarter and full year. Terra Contracting continued its work on an approximately $50 million environmental and remediation project in the Midwest that contributed significant revenue and earnings. In addition, we continued to execute on our Brownfield development project in New Jersey with good margin. The strong dredging execution and increase in revenue coupled with the performance of Terra resulted in gross profit of $28 million. On a percentage basis gross profit of 13% was down compared to 15% in the prior year quarter when the dredging segment delivered very high revenue and executed higher margin capital and coastal restoration projects. General and administrative expenses increased by approximately $4.9 million compared to the same quarter last year with the new Terra Contracting business adding $2.9 million of that increase. Select headcount additions in our corporate office and legal professional expenses primarily related to the revenue recognition issues also contributed to the increase. The company recorded an operating income for the quarter of $11.3 million, in addition we completed the sale of an unused domestic dredge for a gain of $2.6 million. EBITDA of $25 million for the quarter was down approximately $4.7 million from the strong fourth quarter of 2012. Full year 2013 adjusted EBITDA from continuing operations was $98.9 million, an increase of over 32% from 2012. The earnings were driven by improved performance in our dredging business and the addition of Terra partially offset by an increase in general and administrative expenses. As we look forward, dredging has $515 million in backlog at 1231, an another $136 million in low bids and options pending award, the highest backlog we have experienced for the dredging segment. We expect this book of projects to drive activity in the dredging segment in 2014. As I noted we’ve carved out the financial results for our discontinued demolition business for all periods presented. While we have no formal offer in hand based on indications of sales price, we’ve written down that business to fair value. Now, let’s move onto bidding activity. The domestic bidding market for dredging was $1.3 billion, a record year in 2013 and a substantial increase over the $939 million of bidding in 2012. The company owned 54% of the overall domestic bid market in 2013 well above the prior three year average of 37%. The combination of increased market activity and our win rate which was driven by the award of the first two phases of the PortMiami project and by capturing 57% of the coastal protection market sets the stage for 2014. However, please remember that variability and contract wins from quarter-to-quarter is not unusual and the win rate for one quarter is not indicative of the win rate that company is likely to achieve in the full year. When we breakdown our win rate in 2013 by type of work, Great Lakes won 65% of $284 million of the capital projects awarded, 57% or $245 million of the coastal protection projects awarded and 37% or $131 of the maintenance projects awarded. We won 73% or $31 million of the rivers and lakes market. To put this high level of bid activity in perspective, the company’s contracted backlog without pending domestic awards was $515 million at December 31, 2013, which again compares to the $389 million at December 31, last year. Since year end the company won a $90 million rivers and lake project at Lake Decatur and we were also awarded the final phase of Miami as I noted earlier. Environmental and remediation segment backlog was $28.3 million at December 31, compared to $31 million at December 31, 2012. Our continued focus on recovering investments and working capital yielded improvement at year end, working capital decreased by $42 million and cash increased by $34 million from the previous quarter. We were able to collect, a large international receivable that had been outstanding for an extended period of time and we’re recapturing our working capital invested in Wheatstone and certain domestic dredging operations. We spent approximately $63 million on equipment in 2013 including $17 million ATB vessel. As we announced in January, we’ve contracted with Eastern Shipyard to build the ATB. The company intends to secure financing for this construction phase and upon completion of the vessel. We continue to be very excited about the capabilities and the capacity of this new vessel. We remain in compliance with the covenants for our revolving credit facility and we’re mindful of the importance of generating cash flow. I would like to now turn the call over Jon Berger, who is going to discuss some our important activities and initiatives as well as strategic and growth considerations.
Jonathan W. Berger : Thank you, Bill. As stated our addressable bid market was a record this year at a total of $1.3 billion. As we noted we won 54% of this market and that resulted in a record backlog for the second quarter in a row. Now let me turn to some of the specific markets and address updates since the November call. First as you can see from our revenue market and backlog, coastal protection work was a huge part of this authority in 2013 and will continue to be in 2014. As we expected work needed due to Sandy drove the increase in this market this year. Coastal protection in the Northeast and south east was funded by a special Sandy appropriations bill as were several maintenance projects. We expect more projects in the Northeast will be bid in 2014, and that will be critical to rebuild and fortify the Northeast coastline. However, as we soar 2013, the market is slow and developing currently and we need to see some projects light on the consistent basis. We expect this work to come out in the second and third quarter of this year. Now let's turn to the gulf. Coastal restoration in Louisiana and the Gulf coast. There continues to be a long term focus on rebuilding the Gulf coast and Louisiana and the full gulf. There was one project bid in the early part of 2014 which was won by a competitor and we expect more projects to be bid in the second half of 2014. Included among those will be projects which you will use the pipeline that we laid and used for two projects and completed in 2013. We expect some of these projects to be funded by the $340 million that has already been allocated from BP for restoration projects plus we expect to see an ultimate settlement with BP after the trials. As we noted last quarter, the House and the Senate each passed versions of the water resources bill. They are currently in contract and reconciled in the bill and expect the bill to be passed by both houses and to the President for signature. He has indicated that he will sign the bill and our current view is that the bill will be passed before this summer. As you all remember the bill includes increased allocation for Harbor Maintenance Trust Fund over the next five to ten years until full allocation of the funds from the trust bond going forward would be spent for maintenance dredging. We continue to see support for the ports from both Congress and the President. The fiscal year 2014 budget that was passed in January included increased funding for the army corps where most departments saw a decrease in funding. In addition, in the budget money it was allocated, there was money allocated to the deepening of the Savannah port. Our expectation at Savanna is the next major port deepening to be bid and that will happen in 2014. And we continue to see support for capital dredging in the foreseeable years to come. As with Miami, we will continue to see increased bid support for these projects. Florida had helped fund the PortMiami project and they could potentially help with other ports in the states such as Jacksonville and Fort Lauderdale as examples. Georgia, Texas, and South Carolina have also indicated they would help fund their port deepening need in their individual states. Additionally we are having discussion with those involved in major LNG facilities in the gulf. As you can expect these can be major projects and it will be slower in developing and with our best guesses that they will be 2015 and beyond projects. One last note on the dredging segment, as Bill noted, we signed the contract with the shipyard in January to build our ATB. We are very excited to be working with the eastern yard in this project and have every confidence as project will go well and beyond time for a mid 16 delivery. The price has increased significantly from our initial expectations, but we are confident that vessel will be the most efficient in industry and a true game changer. In addition we have successfully settled our dispute with the first shipyard we separated from and received a $10 million settlement. Due to the pending divestiture of our historical demolition segment, we have renamed the business, the remaining business, our environment and remediation segment. Terra Contracting, which we bought at the end of 2012, is the primary business in our segment now. Our Terra Contracting team has been a solid perform for the company since acquisition and significantly exceeded our first year plan. They’ve been fully integrated into GLDD and our environmental and remediation product offering has gone to market with our rivers and lakes dredging business and our TerraSea joint venture to provide a comprehensive set of services for very attracted growth market for us. Now let me turn to our historical demolition business. Much effort went into transforming that business into an operation that can be successfully run under public ownership, but we were not successful. As we mentioned last quarter we have engaged a financial advisor to help us explore strategic alternatives. We are currently in active negotiations with potential buyers of that business and hope to conclude a deal in the coming months. We are putting countless hours executing our projects, working to remediate a material weakness in our internal controls, maintaining the operations of this business and now supporting activities associated with the sale of the business. It is our belief that Great Lakes and our nice employee we better served under alternative ownership. Our management team has successfully focused on reducing our investment working capital and increasing our cash balances. We continue to focus on driving our cash conversion cycle down in 2014. Additionally, Bill stated that our G&A has increased some of that through the acquisition of Terra and also through the legal issue we have been managing through. We continue to be extremely focused on driving that number back down in 2014 and fully expect that would successfully managing those issues, we should reduce our G&A back down to a more historical operating level in the second half of 2014. As always we appreciate the support of our shareholders, our employees and our business partners and we thank you for joining us in discussion and important developments and issues of our business. Now, we are open to taking questions. 
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Scott Levine from Imperial Capital.
Scott Justin Levine – Imperial Capital, LLC, Research Division: Hi good morning guys. 
Jonathan W. Berger : Good morning, Scott.
Scott Justin Levine – Imperial Capital, LLC, Research Division: So, firstly with respect to the environmental and remediation business, I see very strong gross margin there and changes in the project mix versus last year, large proportion of this attributed to this large Midwest project, but I hope you can give us a sense of what we can expect going forward from that business mix and what type of margins assumptions we can use generally speaking given the types of projects you are looking up there?
Jonathan W. Berger : I will start with kind of the type of project and then I will ask Bill to kind of address the margins Scott, but our thesis of acquiring both the land and water based environmental and remediation business and adding to that our TerraSea joint venture and our historical rivers and lakes dredging business has really come to fruition, they’ve gelled together very well. We are looking at an abundance of very interesting projects both in the Midwest where we are working on significant pipelines bill, but also throughout the country. So, we expect to see continued growth in that business. I think we expect to continue to invest in that business. And we expect to see nice meaty projects in the environmental side. I think are quickly branding ourselves as kind of a go to player that can provide a broad set of services both on land and water for environmental and remediation. From a margin perspective, Bill you want to take it from here.
William S. Steckel: I think, the way to think about that margin for the Terra business is that as these kind of revenue levels, these kind of volume, we have marginally achieved, this year is pretty representative of what we would expect to see on an ongoing basis. There is a little bit of seasonality in this business maybe even more than the dredging business and typically in the first quarter of the year. But for the rest of the year you would see margins like what we just experienced and as revenue increases, you will see it gradually step-up going forward as that revenue picks up.
Scott Justin Levine – Imperial Capital, LLC, Research Division: Understood, thanks. Follow up question I guess on the coastal side obviously a huge year in 2013, what I believe that I heard was optimism regarding 2014 but maybe with a bit more of a back half ramp, I think Jon you mentioned Q2, Q3 and the release reads 14, but can you give us little bit more sense on your visibility on that business and in terms of magnitude, are we talking potentially approaching 2013 levels or additional color maybe regarding your expectations for that business this year?
Jonathan W. Berger : Visibility is little tough with a lot of projects out there we talked about, but we are moving away from the emergency work and just the re-nourishment to redesign work and we are having a little bit of difficulty seeing clear direction from the army corps as you get to more engineered projects. So, there is certainly a lot of work out there to talk about. We believe we will get there. But it's a little slow in developing right now. So, will it be a strong in 2014 as is in 2013; it's tough to guess. It's going to have to be like I said, it will have to be a second half based business again, but I think it will be interesting projects when we get out there because this will be more engineered designed projects as opposed to just purely emergency reclamation.
Scott Justin Levine – Imperial Capital, LLC, Research Division: Got it. And would that imply maybe a better margin profile or similar base from where you can talk?
Jonathan W. Berger : Well, I think the margin was good work last year. And so that really just depends on how the overall bid market shapes up for the year because it's also will be highly utilized market when you have a high bid market you get to be a little bit to drive up margin.
Scott Justin Levine – Imperial Capital, LLC, Research Division: Understood, thanks. One last if I may. On the maintenance side, you mentioned the water bill. If that does get passed would you expect any improvement in the market in the back half 2014 or is that more of a 2015 story now?
William S. Steckel: No, it's really a long term growth in the market. The budget that was passed in January will be the maintenance market this year unless there is any emergency work that comes out. So that's really just giving us stability of a heightened market and a continued growth in the market over the coming years. 
Scott Justin Levine – Imperial Capital, LLC, Research Division: Got it, thanks.
Operator: Thank you. And our next question comes from the line of Andy Kaplowitz from Barclays.
Unidentified Analyst: Good morning, this is Bled (ph) sticking on for Andy. How are you?
Jonathan W. Berger : Sure, good morning, thanks.
Unidentified Analyst: So, my first question is around your comments on evaluating opportunities in environmental and remediation for growth. Should investors take this to be that you are looking at potential further M&A in the business and if so can you give us a sense as to the scale of possible transactions you would consider?
Jonathan W. Berger : Yes. We bought the rivers and lakes business specifically to get into that market but also get in the environmental business. We bought Terra specifically to get land base and water. I would suggest that we have some geographic and customer type additions we would like to make. I don’t think these companies don’t tend to be very significant size wise. I mean there is a lot of $50 million to $100 million revenue businesses out there that we think are attractive that we can buy at that reasonable multiples and then add value to. But, from a strategy standpoint, I think the southwest is very interesting to us getting into the oil and gas business down there where we have a name from our dredging business is attractive to us. So, we continue to be on the lookout for transactions I don’t think in the marketplace where we play these are tremendous size and I think if you look at what we did with the mass and acquisition, if you look what we did with Terra acquisition I think those are the kind of size that we expect to do because that’s what out there really that we think is attractive and we can add value to.
Unidentified Analyst: Okay, thanks that’s really helpful. And then, maybe just separately, we had some pretty harsh weather here in the early months of 2014, can you comment on how weather has impacted your ability, its operate so far during the quarter and whether we should expect to see any headwinds from the weather in the early part of the year?
Jonathan W. Berger : Yes and what's go kind of little bit business by business, certainly in our environmental where right now we are kind of – it's significant kind of Midwest based weather certainly is slowed us down in the first quarter and that’s one of the reasons why one of our pushes with them over the next 12 to 18 months is to expand down to warmer climate so we can kind of get rid of that seasonality that Bill talked about. On the dredging side, it's certainly been a very rough start of the year and that certainly affects our ability to execute when it's so darn cold and you are on the water and you have storms going through. Safety is first and we are not going to – and our equipment can operate at very, very heightened levels when the seas get rough and certainly everything slows down when it gets very cold. So, my expect is that our first quarter numbers will be affected by weather to a certain extent.
Unidentified Analyst: Okay, that’s helpful. Thank you. 
Operator: Thank you. And our next question comes from the line of Jon Tanwanteng from CJS Securities.
Jon Tanwanteng – CJS Securities: Good morning, guys. Nice quarter. 
Jonathan W. Berger : Thanks Jon.
Jon Tanwanteng – CJS Securities: Can you talk about the water bill for a bit? What appears to be the holdup given the both house and senate has their versions ready, is there a particular sticking point in the concept?
Jonathan W. Berger : There is the merging of the two bills and it's our understanding that they have largely come together, I mean they will never tell you directly until they are putting it out to vote. But all indications are that we hear is that it will come to vote in the second quarter. And when it does it should pass without just kind of spreading rumors we hear, the gulf coast is really fighting hard for a couple of projects that they expect. They would like to get in there. The gulf coast and the political members from the gulf have been tremendous supporters of the water bill and of dredging in particular. They certainly got beaten up over the last 10 or 12 years and they are looking to get some projects and that’s the last part I hear but that's – second hand rumors but everything we hear is that it should be the second quarter, it should get done. 
Jon Tanwanteng – CJS Securities: Okay that's helpful. The run rate in domestic capital dredging was a bit lower. We thought it would be – is that going to increase sequentially as you get Miami ramped up to full speed and maybe what other capital bias that you are working on right now?
William S. Steckel: Yes Jon, to answer your first question I mean, typically I mean, the way we plan for 2014 yes we would be seeing sequential increases. I think that as Jon mentioned the weather has given us a pretty rough start this year. So we would like to see what the full impact is on Q1.
Jonathan W. Berger : Yes and then the other question is, certainly Savannah is our expectation we bid, will it be a big contributor if we win it in the second half of 2014 probably not, probably more of a 2015/2016 kind of venue. And then, on a capital side, I think we will continue to see things in the second half when funding it's more solidified in the gulf coast for projects that are capital oriented. 
Jon Tanwanteng – CJS Securities: Okay, got it. And then, can you breakdown the increase in the cost of the ATB versus the original contract which is below $100 million?
William S. Steckel: Yes, let me give you some high level numbers if I could. One, it started out with our contingency something below $100 million when we went to final design, I think there was probably close to $10 million or more incremental steel in there just as we looked to file designing and went through the various approval processes. It was required to add some steel to support the frame. There is probably the fact that’s a year later there is just cost increases from a year and just and design increases and then I think we paid a penalty for switching yards. And I think in our view, we came to a fair settlement with the first yard that I think we will recoup what our guesses is the cost associated with switching yards and we did it very efficiently without prolonged litigation or arbitration. So, yes that’s where it is. I think the biggest chunks are our pure steel and that's totally a mathematical exercise. We had tons of steel, you are going – you just pay more. And then, there were some designs increases and the third parties is the penalty which like I said I think we probably negotiated a fair settlement to observe that. 
Jon Tanwanteng – CJS Securities: Okay, great. And then finally, any update on demand or projects out in the Middle East or Brazil and India just a international future?
William S. Steckel: Great question. We are wrestling and hope to have a nice size project in the Middle East in the next couple of weeks which would give us some visibility. We will obviously announce it when we get it. India is a very difficult market. We spent some time looking at that market. I am not very encouraged by what we have been expecting to see in India though Brazil, I think we will continue to operate in Brazil with the equipment we have down there on a reasonably consistent level going forward. We see nice demand there. And we are looking at projects in a broader international spectrum that we find interesting and so the activity is up but these are big capital projects and we do need to get something in the boat. We have some gap and decent size to get in the boat to keep that equipment utilized. We think we have something in the Middle East, but until it's signed on a dotted line, it's not as predictable as it is domestically.
Jon Tanwanteng – CJS Securities: Great, thank you very much.
William S. Steckel: Yes, sure Jon.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Phil Volpicelli from Deutsche Bank.
Philip Volpicelli – Deutsche Bank: Good morning. We have seen some lots of news articles about the way you’re going to connect Panama canal expansion. Has that reverberated through the bid market for the port deepening or is it really kind of go and focused on that?
Jonathan W. Berger : No. honestly I think, we as a U.S. porter are so behind schedule. So the Panama Canal ends up being three or six months behind their opening, which I guess now is pushed to 2015 and I don’t truly believe that that is affecting anyone's thought process on U.S. ports.
Philip Volpicelli – Deutsche Bank: Okay, great. And then, you obviously gained some cash during the quarter from working capital recovers, what amount do you think you can get back in working capital in 2014?
Jonathan W. Berger : We have a significant amount tied up in the ATB that we haven’t done our financing yet and we have about $40 million we have expended that have come out of our working capital. So, beyond just traditional cash flow, depending on how we structure the ATB that's probably our pure biggest chunk. We had some extended working capital out there that I think Bill mentioned a significant receivable in the Middle East, some ramp-up on items in Wheatstone and we did a really good job of getting those settled before the end of the year. The other big, big chunk like I said is the $40 million tied in ATB that we funded out of working capital. So it's just the matter of how we structure that. 
Philip Volpicelli – Deutsche Bank: Right and then I might have missed this, what's the revolver availability currently?
Jonathan W. Berger : I mean, at year end our net cash was about – and so we have plenty of availability. Its $175 million and we had like I said, we had like $35 million out on our revolver but we also had significant amount of cash on our balance sheet, right. So, we were about a net cash of zero, so we probably have, I am kind of purely ball parking, somewhere close to $100 million of availability. 
William S. Steckel: About $60 million on revolver plus cash. 
Jonathan W. Berger : Yes, so about $100 million.
Philip Volpicelli – Deutsche Bank: Great, thank you very much.
Operator: Thank you and our next question comes from the line of Rick D'Auteuil from Columbia Management.
Rick D'Auteuil – Columbia Management: Good morning. Couple of questions. The SG&A targets that you set for the second half back to more historical level, what can you get more specific on that?
William S. Steckel: Well, I think SG&A is just going to step down I think that’s our expectation as we go into next year. I think what you saw in the fourth quarter will step down and it will just keep stepping down over the course of next year that’s our expectation. 
Rick D'Auteuil – Columbia Management: But, you said return to historical level. Is there a certain percent of revenue that you are looking that you are targeting? I guess, I am looking for something more specific?
Jonathan W. Berger : Well, we are really not going to give that kind of guidance Rick. I think it just to go back to if you looked at what the business was like before we ended up with some of the issues we had in 2013, that’s really the best we can say about that.
Rick D'Auteuil – Columbia Management: But you also made an acquisition last year that to have its own SG&A that came right Bill, that create some noise, I guess.
William S. Steckel: Right, from a percentage basis, we helped to drive it back down to where we were in ’11, ’12 we hit up all these issues. 
Rick D'Auteuil – Columbia Management: There were a number of things that you were speaking to recover, but I think mostly on the demo side of the business any successes there and I guess what's the status of those?
William S. Steckel: I mean, we are still working through those. It would be probably less than totally prudent as were in kind of negotiations on the sale of the demo business to really give too much color right now because I think it would potentially just affect that on the sale process. But our attention is on that and we think we will do okay on that stuff. 
Rick D'Auteuil – Columbia Management: So, I guess my question is potential buyers I assume aren’t going to want, aren’t going to give you much credit for recovery. So will that continue to be your benefit post help?
William S. Steckel: I mean, my guess is that’s correct. We are still trying to finalize that and in any contracting business transaction, it's with ongoing projects. It's a delicate negotiation. But, I don’t disagree with your premise and so there is a reasonable expectation in my mind that for proportions of that we will retain and work through that ourselves through the second half of the year.
Rick D'Auteuil – Columbia Management: How is Wheatstone doing?
William S. Steckel: From a project prospective it's right on our budget expectations. I was out there actually last week. It's moving along well. We are on schedule and may actually be a little bit ahead of schedule from our expectations. There is discussions of certain amounts of potentially add-on work there. So, we are happy where it is. We are happy with the margin the project has been keeping and we continue to potentially engineering some solutions there. So it's going well. 
Rick D'Auteuil – Columbia Management: And so, no weather impact there obviously right?
Jonathan W. Berger : Well, we certainly did in when we did the project we did in cyclone time. Cyclone is the big weather issue as you get down there and it's the cyclone season. The cyclone season has not been greater than what we budgeted. So, we are not having any adverse effects from weather.
Rick D'Auteuil – Columbia Management: Okay. Thank you. 
Operator: Thank you. And the next question comes from the line of Trey Grooms from Stephens.
Trey Grooms – Stephens Inc., Research Division: Hey good morning guys and congrats on great quarter. I just really have one question. It's really more kind of big picture. If you kind of look at Great Lakes overall the company, 2010, 2011 and you guys had some of the highest margins that we have seen obviously pretty high utilization rates, domestically at that point I think you were doing some, the emergency by mark and things of that nature. But now as we kind of step back I mean looking forward, I mean it looks like the demand should continue to increase, you guys should have higher nice utilization rates here domestically, now with all the kind of puts and takes and things that have changed since that time frame, you have done a few acquisitions and now obviously getting rid of the demolition business or the legacy demolition business, can you give us a sense of in that kind of environment what has changed or has anything changed on how we should look out margin potential as we look at Great Lakes today after all the changes we’ve gone through over the last few years?
Jonathan W. Berger : I mean, great question Trey. I mean there obviously been a tremendous amount of noise, 2010, we had all the work, I think we are seeing in our domestic dredging business we are seeing and I think we will continue to see going forward with all these deepening projects and some of the expectations from gulf coast restoration, Sandy and hopefully in 2015 and 2016 some LNG projects out there. I think we see a significant domestic dredging business that rivals at 2010 number. When we get our – we will see significant margin increase when we get our ATB online because actually it is a game changer, it's going to allow us to one both increase in amount of volume we can do and it should increase our margins nicely. We basically replace that demo business with a much more reliable we think much more aligned business in an environmental and remediation business that we think we can grow. And our international is to me that the other parts that we have to figure out, we have a lot of equipment internationally and it's been an up and down couple of years in the Middle East. We have replaced some of that work out to Wheatstone. Wheatstone will certainly go through the end of 2014, we potentially to go into 2015 a little bit with potential, but we got to focus our attentions on keeping the level of volume up in the middle, in both the Middle East or internationally. And if we do that with the ATB coming on line with some growth expectations, we see, I think we should be in pretty decent shape.
Trey Grooms – Stephens Inc., Research Division: Thanks a lot and thanks for the color on that and I guess from this point, we are expecting to hear hopefully good news out of the international project that you have been talking about. How far along in that in the process of getting that international business where it means to be because it sounds like a lot of the potential really hangs on that. This big project you are talking about how far does that get us to where that needs to be from utilization standpoint to where we should feel a lot more comfortable about that side of business?
Jonathan W. Berger : I mean, it gives us certainly, it would give us better visibility into this year. But the challenge we have as a management team is getting some level of better consistency internationally and it's just, it's not the same thing as it is with our domestic business. Our domestic business is, we have a power purchaser in the U.S. government that we have generally a reasonably good feel of where the market is going. Internationally, it's much more of a hunter, hunting business than it is a farming business it’s affecting use us to analogies domestically. And we have got to – we are spending a lot of time on our strategy of figuring out internationally how to get that better and the truth scenario is, we have certain equipment in international markets that have been older equipment or things like that that we have to grapple with, but I think that we hope to have reasonably good visibility if we can on get this project put to that for the next year and that gives us the run room to fully define the strategy.
Trey Grooms – Stephens Inc., Research Division: That makes sense, thanks a lot and best of luck, Jon.
Jonathan W. Berger : Thanks Trey. 
Operator: Thank you. I will now turn the conference back to Katie Hayes for closing remarks.
Katherine M. Hayes: Thanks everyone for joining us today. We will talk to you again after our first quarter in May of this year. Thanks.